Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Telkom's First Quarter of 2018 Results Conference Call. [Operator Instructions] I must advise you that this conference is being recorded today, Wednesday, the 2nd of May 2018. 
 I would now like to hand the conference over to your first speaker today, Mr. Andi Setiawan. Thank you. Please go ahead. 
Andi Setiawan: Thank you. Ladies and gentlemen, welcome to PT Telkom Indonesia Conference Call for the First Quarter 2018 Results. We released our results on 30th of April 2018, and the reports are available on our website, www.telkom.co.id. Today's presentation is available on the webcast, and an audio recording will be provided after the call for the next 7 days. There will be an overview from our CEO. And after that, all participants are given the opportunity to participate in the Q&A session.
 Before we start, let me remind you that today's call and the responses to questions may contain forward-looking statement within the meaning of safe harbor. Actual results could differ materially from projections, estimations or expectation during today's call. This may involve risk and uncertainty and may cause actual results to differ substantially from what we discussed in today's call. Telkom Indonesia does not guarantee to any actions which may have been taken in reliance of the discussion held today.
 Ladies and gentlemen, it's my pleasure to introduce the Telkom's Board of Directors who are joining with us today: Mr. Alex J. Sinaga as President Director and Chief Executive Officer; Mr. Harry M. Zen as Finance Director; Mr. Zulhelfi Abidin as Network & IT Solutions Director; Mr. Abdus Somad Arief as Wholesale & International Service Director; Mr. Dian Rachmawan as Enterprise & Business Service Director; Ms. Siti Choiriana as Consumer Service Director; Mr. David Bangun as Digital & Strategic Portfolio Director; and Mr. Herdy Harman as Human Capital & Management Director. Also present are the Board of Director of Telkomsel: Mr. Ririek Adriansyah as President Director; Mr. Heri Supriadi as Finance Director; and Mr. Alistair Johnston as Marketing Director.
 I now hand over the call to our CEO, Mr. Alex Sinaga, on his overview. Please, Pak Alex. 
Alex Sinaga: Thank you, Andi. Good afternoon, ladies and gentlemen. Welcome to our conference call for the first quarter 2018 result. We really appreciate your participation in this conference.
 Ladies and gentlemen, despite the challenging condition as the impact of intense competition in cellular business, combined with the SIM card registration implementation, our revenues still grew by 4.3% year-on-year to IDR 32.3 trillion, supported by encouraging progress in fixed line businesses. Data, Internet and IT Service significantly grew by 23.3% year-on-year as a result of strong growth in mobile broadband, ICT solution in Enterprise and IndiHome. Our EBITDA declined 4.1% to IDR 16.1 trillion, and net income dropped by 14.3% to IDR 5.7 trillion as we continue our effort to deploy broadband infrastructure, both in mobile and fixed, resulted in high operating and maintenance and also depreciation expenses. While on a quarterly basis, revenue, EBITDA and net income grew by 3.5%, 10.7% and 55.8%, respectively.
 Ladies and gentlemen, our mobile subsidiary, Telkomsel, recorded revenue of IDR 21.9 trillion, declined by 1.9% as an impact of declining legacy business and very intense competition in pricing, particularly during SIM card registration period; while EBITDA declined by 9.2% to IDR 12.0 trillion; and net income dropped by 16.7% to IDR 6.4 trillion as Telkomsel continued to strengthen its network, resulting in higher operating and maintenance and depreciation costs. Nevertheless, Telkomsel remain focused on growing its Digital Business to take advantage from the increasing of smartphone penetration and respond to the declining legacy businesses. 
 The Digital Business recorded a significant revenue growth of 24.8% year-on-year, accounted for 48% of total revenue, increased significantly from 37.7% a year ago. The growth in Digital Business was a result of our network superiority as we deploy more than 6,900 new BTSs during the first quarter of 2018. All were 4G BTSs. By the end of March, our BTS, on average, more than 167,000 units, increased 23.2% year-on-year, around 70% of which were 3G and 4G BTS. 
 Our data traffic subtly increased by 145.8% year-on-year to 8,000 -- 99,600 terabyte, mainly fueled by high growth in 3G- and 4G-capable device that reached 115.3 million, grew 20 -- 35.2% year-on-year. It represented 59% of our customer base.
 Telkomsel also continue its effort to develop digital ecosystem in digital service, including digital lifestyle, mobile financial service and digital advertising.
 Ladies and gentlemen, let me now share about the progress in fixed line businesses. We intensified to roll out our fixed broadband service, and we reached 3.5 million total IndiHome subscribers by the end of March 2018, increased by 97% year-on-year. Sales and technician productivity significantly improved partly as a result of enhanced IT system that helped us to manage our resources more effectively. In the first quarter, net addition line reached 500... 
Unknown Executive: 536,000. 
Alex Sinaga: 536,000, more than 3x compared to 154,000 in the first quarter last year. Revenue from IndiHome business reached IDR 2.3 trillion, subtly increased by 48.4% year-on-year, representing 73% of consumer segment.
 In enterprise market, we remain focused on providing integrated ICT solutions with various smart-enabled platform for Enterprise business, including corporate, government and small, medium enterprise. During the quarter, Enterprise business recorded IDR 5.9 trillion in revenue, grew by 17.7% year-on-year. Corporate segment contribute around 60% to Enterprise total revenue; while government segment contribute around 25%; and remaining 15% was from small and medium enterprise.
 Our Wholesale & International business, which offer domestic and international traffic carrier, wholesale connectivity, towers, satellite as well as the telecommunication and infrastructure managed service, contribute revenue IDR 2.2 trillion, grew by 32.3% year-on-year. 
 Indonesia Global Gateway submarine cable project, or IGG, that will connect the SEA-ME-WE-5 and SEA-US, has reached 85% progress and is expected to commence operation in the third quarter of 2018. Meanwhile, Merah Putih satellite has reached 81% progress and is expected to launch in August 2018.
 Now ladies and gentlemen, on April 27, 2018, we held Annual General Meeting of Shareholder, with key decision include approval for dividend payout ratio of 75%, increased from 70% last year; and approval for cancellation of 1.7 billion treasury share. The meeting also appointed Siti Choiriana to replace Mas'ud Khamid as a Consumer Service Director. And in this end, Edwin Hidayat Abdullah and Isa Rachmatarwata were appointed as Commissioners.
 Last but not the least, to strengthen our digital capabilities, in the first quarter 2018, Telkom, through its subsidiary PT Metranet, acquired 30.4% share of Cellum Global. Cellum is a Hungary-based mobile payment and commerce service solution provider company. The presence of Cellum in our lineup is expected to enhance our back-end and digital payment businesses. 
 And so we're up. Let me reiterate our guidance for the full year 2018. We expect Telkomsel to grow better than cellular industry while overall Telkom Group is expected to grow around high single digits, supported by healthy growth in fixed line businesses. EBITDA and net income margin are expected to slightly decline, in line with the revenue shift toward Digital Business and continue infrastructure development. Capital expenditure for the group is expected around 23% to 25% of revenue, with investment focused on mobile and fixed broadband infrastructure.
 That's ending of my remarks. Thank you. 
Andi Setiawan: Thank you, Pak Alex. We will now begin the Q&A session. [Operator Instructions] Operator, may we have the first question, please? 
Operator: [Operator Instructions] Your first question comes from the line of Mr. Colin from Crédit Suisse. 
Colin McCallum: It's Colin McCallum here, Crédit Suisse. Two questions from me, both relating to cellular. The first is, are you likely to have a situation in second quarter, i.e. this quarter, where you'll end up kind of cutting off a lot of SIM cards that are not registered and, therefore, hitting a kind of air pocket in revenue due to the deadline on registration having ended, I think, yesterday, May 1? So that's the first question. Is there going to be a kind of air pocket in revenue happening in the second quarter caused by that? And then my second question, I guess, is more towards Alistair and the Telkom sales team on strategy side. So we see from the first quarter numbers that your data pricing is so low now that even though you had 150% growth in volume, you only had 20% growth in data revenue. That definitely doesn't look like a very healthy kind of relationship as it clearly affected the Telkomsel earnings. When should we expect a shift in strategy back towards sort of monetization or profit maximization and away from aiming for traffic volume share? Those are my 2 questions. 
Alistair Johnston: That's a nice start. And I think the first question, I think the way to think about the registration is probably in terms of sub numbers and in terms of revenue separately. I think for subs, you would expect -- we expect about 75% of our declared subscriber number to be registered. That will cover off the vast majority of our sort of revenue-generating customers because, as you know, on any prepaid customer base, there's a certain amount of customers who are preparing to churn off. It takes 2 or 3 months to churn off our base. And obviously, for the last couple of quarters, there's been a lot of activity in the market around starter packs, so there's been quite a lot of rotational churn in the market, which we think is going to work its way out of our numbers over the course of Q2. And of course, that's a positive step. I think in terms of revenue, I would be less concerned because we obviously target aggressively customers whose registration based on their revenue, so we feel that we've been able to protect the majority of our revenue. So I think less of an impact on revenue, but I think definitely, definitely an impact on subs numbers. I think going back to the revenue, I think Q2, the story is that competition still remains pretty intense. Voice and SMS still in decline. And I think, importantly, the market is transitioning from a market heavily dominated by starter pack to a market that's going back to renewal. And I think it will be a phasing issue on revenue, but ultimately, we feel that will work its way out. And that's the first question. In terms of the second question, you're quite right, we flagged at the last call that we had taken a decision to be more aggressive on pricing. Alongside aggressive network build-out, we were more aggressive on pricing to make sure that we maintained and grew our data revenue market share. We think that is what's happened. Obviously, for the long-term sustainability market, we think there should be an improvement in pricing. And we actually anticipate that improvement happening in the second half. We will be taking steps post the Lebaran holiday to begin the process of pricing up. And obviously, the progress of that and the extent of that will be largely determined by the reaction of our competitors. Overall, we expect the market to be welcoming of a bit more rationalization in pricing -- rational thinking on pricing, rather. 
Operator: Your next question comes from the line of Piyush Choudhary of HSBC. 
Piyush Choudhary: Firstly, on mobile, so given the 1Q trends and what you have articulated as your strategy for second half, could you kind of give what's the outlook for the revenue growth in 2018? Is it still in mid-single digit for Telkomsel? And we are seeing strong growth in postpaid revenue. Even in first quarter, it's up 21%. So what are you doing differently here? And what could be the long-term implications on the cost structure due to rising postpaid revenue contribution? On the fixed side, we have seen a robust growth on subscriber numbers for IndiHome, but ARPU has declined quite sharply quarter-on-quarter. So can you tell us the outlook on the ARPU side and what we have done, which led to a contraction by 12%? And just if I may ask one last question, on the costs side, the operation and maintenance cost is up 23%. Is there any one-off over there, or this is a reflection of a recurring cost strength? 
Harry Zen: Okay. Piyush, it's Harry here. For the first question about the outlook of revenue for 2018, as you may see also from -- our colleague already, I think, issued the numbers, what we can see is maybe the -- up to end of the year, the industry going to grow by, let's say, low single digit. What we do expect, as mentioned by speech of my CEO, we tried to do slightly better than industry. The momentum that have been also the -- explained by Alistair, that we expect by starting in the third quarter, the market going to be a betterment. So we go toward that direction. 
Alistair Johnston: Yes. I think on postpaid, you're quite right, postpaid revenue growth has been good, driven by subscriber growth, both in the Enterprise segment and Consumer. I think Enterprise, a large part driven by more focus on the business, more synergy and collaboration with the parent company, Telkom. I think on the Consumer side, I think it's just been a result of an increased focus from the business and really developing and improving the sales channels particularly. And in terms of cost structure, no, I -- we don't see a massive difference on the cost side. On the revenue and the churn side, it's all good news. It tends to be -- postpaid customers tend to have higher ARPU, lower churn, so that's a good thing, but we don't see an issue on the cost side. 
Harry Zen: Okay. Piyush, it's Harry here. On the ARPU, yes, the first quarter ARPU, IndiHome declined compared to the Q-on-Q basis. This was given the -- among the new customers that we got in the first quarter of this year, 70% of them subscribed to the 2P package instead of 3P. And the average, just to give you illustration, the average ARPU of 2P is slightly over IDR 200,000, and the average ARPU of 3P is around IDR 340,000. In terms of the O&M, yes, the increase, besides it's in line with the continuous network development to strengthen our broadband infrastructure, but there was also some one-off, which regards to the IT license. There was some one-off regarding the IT license that we have to incur in the first quarter of this year. 
Piyush Choudhary: Can I ask how -- what is -- can you quantify how much of the one-off on the IT side? 
Harry Zen: It's around IDR 70 billion to IDR 80 billion. 
Operator: Your next question comes from the line of Pang Vit from Goldman Sachs. 
Pang Vittayaamnuaykoon: Just a few question on my side. Can you give out like more color on how do you manage to [ stabilize ] your marketing spending, especially in the intense competition environment here? 
Alex Sinaga: Okay. In term of the marketing expenses, basically, for the mobile, we see our ratio, marketing to revenue, this is [ about 4%. ] We maintain in that level. We see that as kind of the, I think, healthy practice in this kind of competitive environment. We always try to maintain that way. But in seasonality, sometime, it is increase. For example, in the end of the years, some in the Lebaran festive, this is also a bit increased along with the dynamic in the market. But we'd strive to -- try to maintain in that level basically. 
Harry Zen: On the fixed side, the marketing expense has been around 3% of revenue, depending on the competitiveness in that particular quarter. Or depending if there is a one-off promotional period that we have to do, then it would tend to a bit increase but, give or take, is roughly around 3%. 
Pang Vittayaamnuaykoon: Just one more question on the Others revenue. It's increasing significantly 39% year-on-year from increase in managed service. Would you be able to give out more color on that? 
Harry Zen: Okay. Yes, that's mainly related to the CPE revenue, the equipment that is attached to the managed service that we provide to our clients. 
Operator: Your next question comes from Arthur Pineda of Citi. 
Arthur Pineda: Three questions, please. Firstly, on the competition, given that SIM registration's already done, why do you think the market's quite slow in terms of tweaking the starter pack pricing upwards? Is there anything else that the Street is watching for? Second question I had is with regard to SIM registration as well. As presumably, churn will slow down, what are the relevant savings that you see from this exercise? And third question I had is, again, on mobile. I'm just wondering, in terms of your expectations for industry revenue growth, are you expecting this to be positive for 2018? 
Alistair Johnston: So the first one, I think we are seeing already the market in starter packs reducing as an overall portion of the business. I think -- I mean, I can certainly speak for ourselves; we are seeing that trend in our business. If there is a continued availability of low-price starter packs, it could be to do with a stock. Obviously, starter packs have a certain validity from when they're first activated, and the revenue is recognized through to when they're sold. And I don't know enough about the policies of my competitors and their validity periods and how much stock they have. On the Telkomsel side, certainly, the stock of starter packs will be reducing significantly. In fact, it already has, and we're seeing a migration of revenue from the starter pack model back to a renewal model. In terms of the second question, do we anticipate a reduction in churn, yes, very much due to registration. Where do we see benefit? I guess we see benefit in the cost of starter packs. 
Alex Sinaga: Yes. 
Alistair Johnston: And we'll see benefit in the cost of commissioning the channel. 
Alex Sinaga: Yes. 
Alistair Johnston: And we'll obviously have a better relationship with our customers, better understand their behavior because they have a consistent usage rather than rotating from one SIM card to another. 
Arthur Pineda: Any quantification on savings per customer, the percent for [ data? ] 
Alex Sinaga: SIM card printing cost and distribution cost, it's going to, let's say, reduce. But what we expect is about half of the cost of printing compared to last year. So in the amount, it is maybe around -- assuming it, around SGD 40 million. 
Arthur Pineda: Including commissions, right? 
Alex Sinaga: Yes. [indiscernible] the commission going to be maybe, because of this environment quite changing from dealer used to have the -- I think, selling the SIM card and then get some incentive from that one. We need to move to the -- toward the renewal packages. In the medium term, we also need to give them some incentives to do, I think, a renewal of the business. In addition to that one, we also need to attract our subscriber toward the renewal. So we feel, let's say, in the medium term, temporarily managing the situation. I think the -- in the second half of the year, we expect this can be more manageable. And then your question on the expectation of the revenue growth for 2018, again, as we mentioned earlier, we expect that the industry growth going to be, for mobile, around low single digit. We do expect that we can perform slightly better than industry because we do, I think, have more investment on this one; and then a further traffic potential growth also still there, with more, I think, betterment in the competition environment, we expect we can have that kind of a performance. 
Operator: Your next question comes from the line of Choong Chen Foong of CIMB. 
Choong Chen Foong: Four questions from me. Firstly, on the personnel costs at Telkomsel, I think that was lower on a year-on-year basis despite the fact that you had more number of employees compared to a year ago. Could you provide a bit more color on that and whether there are any one-offs there, or is this the run rate going forward? Secondly, on the -- on IndiHome, can you tell us which segments of household are we targeting here? Does it include C and D segments, too? And what has been our experience in upselling to the customers that we have acquired on the Dual Play product? Thirdly, on the dividend payout increase, can we assume that the 75% will be the base going forward? And lastly, I just wanted to ask whether there are any other one-offs for both Telkom and Telkomsel besides the IT license cost that you mentioned earlier. 
Alex Sinaga: Okay. Okay. Mr. Foong, on the personnel costs in Telkomsel side are lower compared to we did in last year. Basically, last year, we do pay because of the performance is better than industry, better than our target and so on. So it is kind of variable costs. Related to the performance this year, their performance is not as good as last year, so that's why we pay less on this one. If you ask whether this is going to be a trend, of course, we have like a fixed pay and also variable pay, which is depend on their performance. That, I think, are the condition. And in general term, that what we -- let's say, our policy in personnel costs not to have, I think, quite attractive compared to industry because we need to attract people and maintain the talents but still quite competitive in the industry. And maybe I jumped to the -- your last question on the one-off cost of the -- in Telkomsel side. Maybe we don't really have any one-off cost, but we do have a new cost coming this year. They are -- in the first quarter last year, we don't have that one, especially in the 2,300 megahertz spectrum. 
Harry Zen: Okay, on the fixed side, let me start with the one-offs. So there's only that one single item, which was the IT license that I mentioned earlier. That's about it. And in terms of the segment that we target for IndiHome, we pretty much focus on a variety of segments, class A, B and C, because we do operate nationwide as compared to our competitors, which only focus on a few big cities and because -- and also, we provide more variety of products, 3P as well as 2P. And with regards to the upgrade from 2P to 3P, let me get back to you with the exact number, but there's more upgrade from 2P to 3P happened compared to the other way around, but we'll get back to you on the number offline. And for the dividend payout, as I think we've been mentioning -- we've always been mentioning, it really depends on the -- the decision lies on the hand of the government. From the management point of view, we don't have any issue if the government would like to maintain this as the base case. But I think the -- if you notice, the regular dividend, out of the 75% payout, we split into 2. The regular dividend is 60%, and then the special dividend, which is attributed to the performance, was 15%. 
Choong Chen Foong: Okay. But just on the [ dividend payout ] question, the 75%, was that amount that Telkom proposed to the government? Or was it a higher number, which was then reduced to 75%? 
Harry Zen: Can we take that question offline, please? 
Choong Chen Foong: Yes, okay. Sure. 
Operator: Your next question comes from the line of Sachin Mittal from DBS. 
Sachin Mittal: Just 2 questions. Firstly, have you seen data pricing -- you know, it dropped 40% quarter-on-quarter for you in this quarter and the last quarter. Have you seen any pickup in this? And if not, then what is the basis for us to expect the industry growth to pick up? Because I knew the cutoff date is past, so what kind of changes are you seeing in the competitive plans? Maybe if that's the reason because data pricing is something which actually have continued to spiral down. So that's question number one. And number two, when it comes to -- are you seeing a significant pickup in competitive intensity? Outside the Java region, where you have been extremely strong in the past, are you seeing more competitive action there or no? You still think that Java is the most competitive and not much activity happening outside Java? 
Alistair Johnston: So the first one, I think a lot of the pricing activity at the moment is actually alignment between regular pricing and starter pack pricing. So that continues to drag the overall yield down. What's happening there is, as I said before, the last few quarters, there's been a lot of activity, where customers buy starter packs, and then they discard them and buy another starter pack. And clearly, we are trying to move the market back to being very strong in the more plan renewal data packs. And they traditionally had been quite price premiums, so we've been doing some alignment of that price. And we also have been doing some price simplifications. So that has led to our yield coming down further. In terms of predicting what moves, I mean, my own judgment is that we're beginning to see signs that pricing is going to normalize. I mean, why do I say that? I mean, we monitor a very complex market, multiple price points, multiple product. And I think we're seeing the beginning of an improvement in conditions so much so that we are now prepared to offer to lead the market to a slightly healthier place, and we'll do that in the post-Lebaran period. But honestly, beyond that, I don't know. We will watch the market closely, and we'll see how our competitors react. And if there's a positive reaction, I think that will lead to a general improvement. And if there's not, well, the competition may remain intense. In terms of the outer -- ex-Java versus Java, I think we have been saying for quite a few quarters now that our competitors have been selectively targeting certain cities within what we call area 1, Sumatra mainly; and area 4, in the eastern part. And I think that continues, so we see a lot of competition really across the board. Obviously, we're in a more defensive posture in those areas. And in Java, I think where our market share is 35% or so, then we're in a more aggressive posture. So what we lose in the outer parts, we think we can win actually and perhaps more in the Java island. 
Sachin Mittal: Just a follow-up on that, please. 
Andi Setiawan: I suppose that's the last one? 
Sachin Mittal: Yes. I think earlier, you said $40 million is amount of cross-selling some SIM cards. No need for a new SIM card. Sir, what is that? Is it the annual amount of cost savings? What does that figure pertain to, $40 million? 
Harry Zen: Right. [indiscernible] we can reduce about half of the cost of printing and distributing cost that we obviously spent in previous year. 
Sachin Mittal: So that's for annual number? $40 million is annual savings? 
Harry Zen: Yes, annual basis, yes. 
Sachin Mittal: Sing dollar? Or did you day U.S. dollar? 
Harry Zen: Yes, yes, Sing dollars. 
Operator: Your next question comes from the line of Ranjan Sharma from JPMorgan. 
Ranjan Sharma: Three questions from my side. Firstly, on the SIM registration, are some customers in the industry facing problems in raising the SIMs are due to issues like, let's say, the government ID systems? And could these customers be disconnected? Or will that likely delay the process? Secondly, the question is on -- we see that the operators have introduced certain options for customers to easily unregister existing SIMs, either by text messages or through websites. So what is your view in terms of churn? That if it is easy for customers to unregister SIMs, will churn nicely come down because in the pre-SIMs, the operator limit becomes actually a weakish kind of limit off for customers to gain -- continue to buy new SIMs? Lastly, more on the strategy side. You've seen a lot of telcos globally moving more towards the integrated model. Any thoughts that you can share about changing the shareholding of Telkom and Telkomsel more toward -- that could support a fully integrated telecom operation? I'll stop here. 
Alistair Johnston: Maybe I can take the first and the second. I think in SIM registration, yes, of course, there are problems when you're undertaking something of this scale, where, in the order of 300 or 400 SIM cards -- 300 million to 400 million SIM cards have to be registered in a matter of a few months, of course, you run into problems. And the -- sometimes, there are issues with systems and the reconciliation, so you do hear about customers being impacted. But of course, we are geared up to manage that, and we have collaborated very well with the government in terms of managing those issues and managing problems with data, so we're comfortable that we have processes in place to be able to handle that. But these are all problems that one would expect. And probably, overall, things have probably been smoother than might have been expected, actually; first point. You're quite right, some of the other operators have brought in processes to unregister more quickly. And in theory, yes, that would reduce the negative incentive to keep rotating, to keep taking new SIM cards. I think a couple of factors against that. I think, number one, in the outlets, the stores, the managers of those stores are very sensitive to how long a transaction takes. A transaction now for a new starter pack will involve the staff helping a customer unregister a SIM, okay -- and maybe an SMS or a short process, but it's a process -- and then would involve taking a new SIM card, and that SIM card can't be sold by the outlet unless it's re-registered to that customer. That customer will have to have access to their family card and their own personal ID card. So our feeling is that the extra effort required on the starter pack sales will still be there, will still be a factor. I think on top of that, we're seeing not just Telkomsel but our competitors aligning pricing between starter packs and regular, so actually, there is less incentive for a customer to want to swap SIM card. And actually, a regular recharge-based transaction would generally be quicker and easier for both the customer and the outlet. Time will tell, I guess, but that's our thought at the moment. 
Alex Sinaga: Yes, on your third questions in terms of the consolidation strategy, if you will, we are currently preparing the fixed mobile convergence, which hopefully would help to boost both the mobile and the fixed business performance going forward. Hopefully, this combination -- product combination can be launched later in the year. 
Ranjan Sharma: All right. If I can just circle back to the SIM registration question, that if customers are facing issues due to, let's say, the government ID system, and it's no fault of theirs, can those customers actually be disconnected? Or will that delay the entire process? That is what I was trying to understand. 
Ririek Adriansyah: Okay, Ranjan, this is Ririek of Telkomsel. Yes, there's small numbers of peoples who are living like in the very remote area, where there's some difficulty on this, so -- it's not like 100% they are blocked. So we've been discussing with the government, so -- and they give us some kind of a flexibility on how to manage this kind of issues. So they are not going to be fully blocked, but we will find a way how to encourage them to get registered. 
Ranjan Sharma: Okay. Maybe I can seek further clarification offline. 
Alex Sinaga: Okay. 
Operator: Your next question comes from the line of Gopakumar from Nomura. 
Gopakumar Pullaikodi: You mentioned that your difference in the ex-Java region and the -- your competitors [indiscernible]. Are you comfortable with your pricing in this particular region versus competition? Or do you think that you are still at a significant premium, and hence, there is more room to lower pricing, specifically for those areas? That's question number one. Question number two is on the legacy revenue decline, which is quite -- they're quite sharply for Telkomsel. May I know how this is trending in the ex-Java region? Are you able to hold this or manage this decline better there? Or how is the decline run rate stack up versus Java on the legacy revenue side? Thirdly, you mentioned that you expect subscribers to move from starter pack model to reloads. Given the current pricing environment in the market, would we be able to quantify approximately how much will you expect ARPUs to go up if that happened? 
Alistair Johnston: Okay. I think on the first one, I mean, I didn't say we were defensive ex-Java. I said, generally, more frequently, we would have a defensive stance. It's important to remember that Indonesia is very big if we break it up into 600 different cities. So depending on the conditions, competitive, our network quality, et cetera, we price appropriately. In terms of -- I think the question was about are we happy with our pricing. I think in the short term, yes. I think we are probably at the right level to compete in the market today. I think we have done some simplification of pricing. We have done some structural changes. And in particular, we have aligned the pricing between starter packs and regular. We made the gap a lot smaller. So we think we're right in the position for this point in time. Am I happy in pricing overall? No, I'm not. I think the market would be a healthier place if our yields were higher or at least declining at a slower rate. And our plan for the second part of this year, I've already outlined, but hopefully, that will lead to a better pricing. Question number two, legacy decline is pretty uniform across the country. There's no real difference. And so the third question on ARPU, I don't think I can say a number right now. I think our ARPU -- I made a comment earlier about the number of subscribers is going to change with the registration. And in fact, that process has already begun. And obviously, ARPU is just a function of how many subscribers we report. So I think for the moment, I can't really give a clear figure on that. 
Harry Zen: Yes. And also, in addition to explanation from Alistair, every area, every region is -- have maybe the uniqueness, some in the area we are very competitive with our competitor; in some -- the other area, maybe less competitive. We a bit have a different strategy on that one. Second, on the -- I think how much that's going to be increase in the ARPU, all the -- based on this SIM card registration, actually, we have better profile of our subscriber. Later on, I think similar to others also, we can identify what kind of, let's say, upsell and cross-sell strategy that we can explore is a better profile. That opportunity, definitely, we need to explore in order to have better ARPU per subscriber from the, let's say, whatever we're going to have after this registrations. 
Operator: [Operator Instructions] There are no further question at this time. I would now like to hand the conference back to today's presenter. Please continue. 
Andi Setiawan: Thank you, everyone, for participating in today's call. We apologize for those whose questions could not be addressed yet. If you have any further questions, please don't hesitate to contact us directly. Thank you, everyone. 
Alex Sinaga: Thank you. 
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may now all disconnect.